Maurice Lévy: Yes. Morning, let us start. Thank you, gentlemen. Good morning to one and all and thank you for being with us for the presentation of our results, and above all to look back over 2014. I have Jean-Michel Etienne with me, CFO, and I’m very pleased to be able, not only to share our results with you, but also to field your questions with Jean-Michel afterwards. The - we have a few journalists with us more on the phone, welcome to all of you. These meetings, as you know, are transparent, and we would be grateful if you will allow us to prioritize questions from analysts or advisers, who have decided to take part in the meeting. We are on webcast and the presentation is already on our website, and it can be accessed by one and all. So a word on 2014, it was a year which brought with it a raft of changes and news - and new developments in all fields, macroeconomic and politics. The first event of course was what happened in and around China, with the switch from an economy based on investment in infrastructure towards an economy which is driven far more by consumer investments, with two major events that affected this year, and which will probably continue to impact 2015, that is the attempt to curb corruption and also to fight poverty, somewhat less than successful to date unfortunately. India and Brazil have had a patchy year, not only, because Brazil was not the Cup winner, but also the fact that - in the implementation of their strategies. So the difficulty is perhaps not all behind us yet. Russia is hurting from the sanctions, the price of oil is down. The ruble and its economy by and large have had a tough time. Europe also patchy, the southern countries desperately fighting their deficits and debt, and are having great difficulty generating the type of growth that generates jobs, whereas in the north rather better, with not only balance-of-payment surpluses for some countries, but also highly satisfactory growth and job-generating growth with extremely low unemployment rates. Looking now towards North America, we have a pocket of growth. And my reaction is to think that we talk a lot about emerging economies, but the real emerging economy today, if you look at the nature of its growth and particularly in terms of absolute value, the real emerging economy is that of the U.S. There are several positive and reassuring indicators showing us that construction, innovation, CapEx and practically full employment. Looking now at our industry and looking slightly more closely at what happened over the year. Our forecast in October or November of last year have had to be adjusted downwards two or three times. Our industry has been severely impacted, but this was not really a surprise by developments in the - in digital. This has led to major changes both in marketing, in communication, and also corporate business models increasingly being challenged. Publicis had a patchy year and this - I’m putting this in charitable terms. But I was entirely transparent on the subject, I shall remain, so I think it’s the only way to go. The first part of the year, up till say September was a year in which, frankly, we were not particularly good, in fact, we were not very good at all. No - insufficient growth, our growth was weak. It was not a reflection of our capabilities. It was not either a reflection of your expectations. There are many reasons for this. But the single most significant reason is that our managerial teams since fall of 2013, who have been reduced to skeleton levels were perhaps overstretched by other projects, which did not come to fruition. Q4 turned out far better than the aggregate for the year and also far better than our own expectations. Growth was solid 3.2%; nothing miraculous, but solid. This is a good sign, because it reflects the good health of our customers in all fields of industry. They have increased their level of investment towards the end of the year. But also it means that projects were being successfully completed and the emerging markets contributed to the movement. Our performance there was a satisfactory one. And as we’ll be seeing in the financial and as the presentation proceeds, the Publicis model is doing well, it is robust. Our strategy choices over the past few years are the right choices, sometimes choices are a gamble. Here, we have evidence, clear evidence that our strategy options, first of all, during the beginnings of globalization then during digitalization were the right choices, which have stood the test of time and have turned out to be the right decisions. And this has taken us outside our core business, and this is the main take home today. It’s taken us, I mean, communication has always been our core business, but today we are extending beyond communication into marketing, omnichannel communication and consulting, so as to be able to support our customers in their efforts to resist Uberization and help them transform their business model to adapt to a market which is now driven by innovation and by the destruction - disruption of existing models. We are aware of the requirements of our clients who are not entirely happy with the solutions offered by the market. And this was behind the acquisition of Sapient, Sapient is a gem. When I called it the crown jewel, I think the expression was appropriate. They are an omnichannel leader. 32% of what is sold via Internet in the U.S. goes through platforms owned by or developed by Sapient. So they are a major player in electronic trade and trading in the U.S., they are also a technology leader. They were founded in 1990. It was their core business and also consulting. This transaction will bring us into a world much closer to Internet. We are on the first step toward or into Internet. There is no equivalent. It’s not just a matter of superiority, the fact is that there is no other offering besides Sapient’s which combines creativeness, knowledge of brands, of consumers, of technology, and the new world of Internet. We are now the only ones who can do that, our competitors do not, in any field. So to face that new environment we have brought on board a new and talented generation of leaders. The Management Board has - now has Anne-Gabrielle Heilbronner as a member; and we now have our Directoire+, with Laura Desmond, Steve King - Laura Desmond, CEO of Starcom; Steve King, CEO of Zenith; Arthur Sadoun and Rishad Tobaccowala, Chief Strategist, and now, as - since the signing of the agreement, also Alan Herrick, CEO of Sapient. And the Group is strongly cash-positive, which has allowed us to increase our dividend by 9.1%, and to pay back the Orane, our Oranes substantially before maturity. We are sanguine for 2015 and we consider that Publicis will resume a more normal growth rate or level. The first quarter will be slow, perhaps even negative, the pace will gradually quicken after that, and we will hit cruising speed as of H2. More than 50% of our revenue will come from digital in 2015, and we shall be enjoying Forex effects, because 50% of our business is on the American market. This introductory statement was a bit lengthy, I realize, but I am sure you will agree that it was relevant. And with your permission I shall now go to the financials. I shall take the first part then Jean-Michel will be giving you the glamorous, the sexy part, the results properly speaking. And then I shall come back to talk about outlook and where we are going. You have the disclaimer. I forgot to point out that, as always, this will be in French. There is simultaneous interpretation available and I’m sorry we have to do it this way, but that’s custom. You are invited to read the disclaimer, it’s on-site. I’m not going to spend any further time on this. Revenue, and let’s focus on Q4, up 11.5% to €1.49 billion [ph]. With setting aside exchange effects, up 7.5%, 4% of the increase is due to Forex, and organic growth 3.2%. So €7.255 billion, up 4.3% - 5.6% not counting Forex, organic growth 2% for the entire year, 1.5% at the end of H1. Now, an overview of the highlights. Revenue up 4.3% posted; organic 2% versus 2013. Operating margin €1.182 billion, up 6.8% over last year and it is - 6.8% versus 4.3% increase in revenue is a significant figure. And operating margin 60.3% reported versus 15.9% for the previous year. However, like last year, we announced the result after eliminating one offs, and we decided to do the same thing in 2014, €1.189 million, up 3.8%, versus 16.5% in 2013 and 16.4% in 2014. Jean-Michel will be dwelling on these figures at some length. The percentage of revenue Group share €829 million, up 4.7%. Headline EPS, diluted, €3.64 - not, I was about to say €800 million, no, up 2.8%. Free cash flow regularly improving and 2013 enjoyed one exceptional event. And the dividend, which we submitted to the Board yesterday and which will be €1.20, and this will be put to the AGM at the end of May, up 9.1%. Let’s now have a quick look at the geographies and the geographical breakdown. Well, here you see that Europe is still in a bad position even in Q4. In Europe we have a negative organic growth of minus 1%. This clearly indicates that the quarter was not an end to the difficulties we experienced in Europe, despite the generally good results. North America up 2.4% to €986 million. We will shortly see that without the Razorfish impact, the numbers would have been even better. And obviously the good news comes from the emerging markets and the rest of the world, with two-digit growth. Look at the full-year revenue by geography, and you see that Europe is still slightly negative at minus 0.6%. North America posts 2.3% increase over the full year. If you exclude the Razorfish effect, the numbers would actually be plus 4%, which is much more satisfactory. BRIC and MISSAT 3.5%; rest of the world 6.7%, which all in all brings us a 2% in organic growth over the full year, not anything to write home about, but a significant improvement compared to what we posted over the first nine of the year. Now we’ve - I decided to identify a few countries like that. It’s not extensive, it’s not a full list, but they may be the more symbolic or important countries. We’ve identified three growth bands above 5%, less than 5% and negative growth. South Africa is negative, because there was a budget lost in Saatchi & Saatchi, otherwise the business is actually quite good. As for Canada, we are only just negative, Colombia, Korea too. And then we have the usual string of countries in Southern Europe; Spain, Greece, Italy, Portugal and a handful of others, who are unfortunately in that category, United Kingdom, for instance. In the UK, we have the Razorfish issue, which basically lost half its business with most of our international customers, such as Blackberry and Motorola - were being managed from the UK, and other blips in the business at Publicis Worldwide. So from 0% to 5% increase, we have significant players here; Germany, Brazil. Brazil is important for us; China, France, India, which has picked up nicely; Japan, Poland, Switzerland, and the U.S., obviously. And then above 5%, then we have Saudi Arabia, Argentina, Australia, Costa Rica, Mexico, now that’s significant, The United Arab Emirates, which is also important and significant for us, we are leaders in the region. And Netherlands, Russia, despite the current circumstances, and Singapore too, which is also important. Now if we posted our numbers in dollars we’d have a Q4 increase worth 11.4% and a full-year increase of our revenue worth 4.3%. Now a quick focus on digital, we’ve done a lot on digital over the last few years. It is a great priority and zooming in on digital, I think makes a lot of sense. Digital represented 38.4% of Group revenue in 2013, so let me say that again - almost 40% of our revenue was derived from digital in 2013. In 2014, despite the Razorfish issue, we have almost reached 42%. Excluding the Razorfish impact, we would be toying with the 44%. So clearly this illustrates the significant improvement. This in the field - this leads to a 7.3% organic growth and, excluding Razorfish, the organic growth would have been 10.8%. And that in fact excludes the actual growth that the brand should have produced also, so just to say that our digital business is doing well, thank you. Fast growing markets - and I’m not sure that the label is actually still relevant nowadays, given the situation of emerging markets. But all-in-all, the impact is pretty much the same. The optical illusion here relates to a posting issue in 2014, our investments and our CapEx focused mainly on mature markets and, more specifically, in digital, than in the markets - emerging markets. And yeah, these emerging markets do still post some - almost 5% organic growth, and when you compare that to the 2% growth for the whole group, you realize clearly that the two strategic pillars of the group have brought a significant contribution to the group’s business. Now look at the geography and activity matrix. I think if you look at this like this, you can identify a number of things to say. First of all, digital in emerging markets experiences 29.4% growth for the rest of the world, 33% for BRIC and MISSAT, that clearly shows that the business is growing nicely on these markets, and that these markets are catching up with Europe and the U.S. In Europe you still have some 9% of growth for digital and 3.2% in North America. If you discount the Razorfish impact, in fact North America would almost reach the 7% mark, which would be significant. We therefore can see something that we are familiar with for some time and which has helped us guide our strategy, and that is that analog has been negatively impacted across the board; growth is either negative or very sluggish. I think that’s pretty self-explanatory. And, again discounting Razorfish, the North America organic growth would be 4%. Right, so there you have it. I think I’m done with my introduction. I’ll now give the floor to Jean-Michel Etienne, who will give you a detailed presentation. Jean-Michel, you have the floor.
Jean-Michel Etienne: [Interpreted] Good morning, everyone. Let’s have a quick look at our - a relatively detailed view of our numbers. If you look at page 13, look at the consolidated income statement, first of all revenue. €7.255 billion, so up compared to the consolidated income statement for 2013 by 4.3%. As Maurice has said, EBITDA and the operating margin have both increased by rates that are above the rate of increase of the revenue, which clearly means that we have improved our management of cost. Operating margin has gone up 40 basis points to 16.3%, as a percentage of revenue. But the operating margin included €38 million related to the merger with Omnicom and, in 2014, there was the Sapient expenses and also the reprocessing of expenses related to Omnicom. All-in-all, these expenses for mergers and acquisitions are worth some €7 million, so the operating margin was calculated by discounting these acquisitions and expenses. And the reworked, or reprocessed organic - operating margin posted 16.4%. Now we also see that there’s an impairment loss, a one-off impairment loss of €72 million. €24 million I think had already been explained, relating to BBH in - when we met in June and now another €40 million for MSLGroup. Last year we had non-recurring income worth €69 million, as you can see. This was mainly due to the sale of our Interpublic shares, shares that we had held since the FCB operation in 1998. So reprocessing these numbers was included in the net result, €829 million in the Headline Group net income, up 4.7% on 2013. On the next page you have the Headline Group net income, and you’ll find on page 57 in the annexes the way in which we get from the Headline Group net income to the Headline Group net income. This is something that we’ve been doing for years. We never introduced it previously, but the Headline income is worth mentioning this year, given the circumstances. Page 15, you’ll have a presentation of the operating margin. Staff costs, 61% of revenue, down from 62% last year; an improvement of 20 basis points. Last quarter enabled us to make up for the lagging behind that we’d seen in the beginning of the year, special measures including the slowdown of new hires in some entities. So the operating margin for 2014 is 16.4%, down 10 basis points on the previous year. But given the sluggish growth of 2014, I think we can say that this is actually quite a good result. So how do you go from 16.5% in 2013 to 16.4% in 2014? Well, there’s nothing major for this year, but we probably need to discuss these things all the same. Staff costs were kept in check nicely over the course of the year, as you can see. A client costs have negatively impacted the results, worth 10 business points. New business costs are non-chargeable to our customers. Then in 2014, we still had a positive contribution of the shared services and the occupancy costs, so our real estate policy, that’s another 10 basis points on the margin. On G&A, well, there are all sorts of things that come into fact and come into play, and all-in-all it’s almost a neutral contribution. So our margin for 2014 could have been - should have been 16.6%, but then we suffered the Forex impact, which took it down 10 basis points and another 10 basis points related to acquisition, which brings us to 16.4% in the so-called waterfall. Page 17, let us look at the net financial cost, increased expenditure worth €7 million all-in-all. This is particularly due to the fact that in 2013 we’d had Forex gains worth €7 million, which we didn’t secure in 2014. In a way, they were opportunistic Forex gains that we didn’t enjoy in 2014, and I think this is the main explanation. Then cost of net financial debt is down €3 million. The re-evaluation of earn-outs is less positive in 2014 than 2013, but still is positive. And this clearly gives some positive outlook on the entities that we acquired under earn-out. So every cloud does have a silver lining. Then all-in-all, net financial expenses €28 million compared to €21 million for 2013. Effective tax rate now, it has improved slightly and now reaches 28%, a 40 basis points improvement. This is mainly due to the fact that we have been using tax loss - previous tax losses. Page 19, earnings per share, diluted it’s worth €3.16, down a bit from - compared to 2013, because of the non-recurring non-cash events. But once you reprocess them you see that the Headline EPS diluted actually increases by 2.8%, and reaches €3.64. Now the balance sheet, to be found on page 20, here we have a very positive situation. At year’s end 2014, the working capital requirement, which is negative, remember now business is actually improving by another €300 million. Our net cash position is improved, €985 million at year’s end 2014 and €392 million improvement on the previous year.
,: Free cash flow on page 22, free cash flow is worth €836 million. It is all-in-all on an upward trend. Yes, the numbers are down since - compared to 2013, but there was a tax rebate and repayment, reimbursement, in the U.S., which brought our taxes paid over there down quite significantly. But if you discount that you see that there’s a significant and constant improvement over the last three years. Use of cash now, on page 23, free cash flow before changes in working capital requirement is important. You see that the changes in the working capital requirement had been worth a contribution for €66 million. In - we thought that €355 million in 2013 was a high watermark, and we however, still managed to improve the situation in 2014, which is cause for satisfaction - acquisitions net of disposition, €400 million. Earn-outs and buyouts worth €159 million in cash payouts. Dividend paid, €126 million, mainly because of the scrip dividend payment and the popularity of that, when it was - since it’s been established, two years ago if I’m not mistaken. Page 24, financial ratios, difficult to - well, impossible to calculate them this year because of the net cash position. This - these will, however, be relevant once again when we give you the numbers following the Sapient’s acquisition. The dividend now, the dividend suggested to the May 27 AGM will be €1.20, up 9.1%. Given the scrip dividend option and its success in the previous years, we will make this possible once again, and our shareholders will be able either to get their payment in kind [ph], or in cash. As for the payout ratio, we’ve decided to go beyond our 35% commitment for 2014. The proposed payout ratio actually is 37.3%. Liquidity at year’s end is €6.6 billion, an exceptionally high number. Simulations with Sapient would bring it down to year’s-end 2013 level somewhere around €3.3 billion, and it’s worth remembering that. Finally, before I conclude, let me give you a quick presentation on the return on capital employed. This ratio is to be found on page 28. It now stands at 13.4% for 2014. Since 2011, we’ve been constantly above 13% and actually above the average over the last eight years, which is at - stands at 12.7%. It’s also beyond the Group’s WACC, somewhere around 7.67%, if I’m not mistaken. And the difference between ROCE and WACC is in fact an acknowledgement of the value creation. And I think that’s it for me, and I’ll give the floor back to Maurice Lévy.
Maurice Lévy: [Interpreted] Thank you. Jean-Michel. Let me start with a focus on Sapient and then after that a word on the outlook for 2015. Sapient then, let me try to describe our reasons for entering into this transaction. We are already fairly strong in digital, with Razorfish which, despite its difficulties in 2014, is a very high-quality agency with digital SPI, with Rosetta. So why was it necessary to invest so strongly in Sapient? Well, the answer lies in what is going to happen to economies over the next few years, and the type of problems that as a result our customers are going to be facing. There are two major trends, firstly, the trend towards convergence, whether physical, virtual, connected objects. Everything is converging towards a digital environment without borders. And secondly, the age of empowerment of consumers, whereby consumers can do their own thing. They can become joint authors of - or issuers of messages. This is a highly- different way of doing things from what it was only recently. And this all means that our customers find themselves facing a world entirely different from their experience to date. And make no mistake about this. It’s not just a minor adjustment. It’s not just a matter of moving forward - forward fumble, adding a bit more or less digital or organizing a campaign. It’s something far more profound than that. I mentioned the risk of Uberization before, when Uber set up its operations its value sky-rocketed very quickly and at the same time it made business models as ubiquitous as that of taxi drivers completely outdated. So imagine applying the same impact to a company with major logistics assets, with plants and so forth. And so for our customers it is vital to at least think about where they are going and what this means for them in terms of marketing, in terms of communication, in terms of their underlying business model. And this is the real reason why we felt that this investment was appropriate. Sapient operates on three markets; consulting, marketing, storytelling and content, but omnichannel, obviously, and technology and services. 33% of their revenue comes from consulting and marketing, new storytelling and content, or omnichannel, which obviously blends into technologies and services 67%. Now $1, $2, $3, through $6 and so forth, this is - this means that for $1 in ad spend, $1 spent in consulting generates between $3 to $6 in technology and services in a recurrent fashion. This is also worth noting and it’s important to remember as we move forward. I’m not going to go back over the details. You’ve got all this. They were - all of this was abundantly posted. This is Sapient and what the three divisions respectively represent. Firstly, SapientNitro, two-thirds of the aggregate, then the - firstly the Global Markets, 20%, and Government Services representing 5%. Government Services and Global Markets are going to be merged to form Sapient Consulting, so Global Markets plus Government Services. The timing - on November 3 we announced the proposed acquisition. This was done pretty promptly, but the approach was very gradual. It was not an overnight operation. It was a process which started back in 2011 with regular contacts with Alan Herrick. In early 2015, we secured all of the regulatory approvals required to complete the transaction. This regularly meant that we had to postpone the operation, but it was because of the need to wait for CFIUS approvals in the U.S. Same thing for anti-trust clearance in the U.S. and the equivalent in Germany. February 6 closing, and we wrote a fat check; an experience Jean-Michel didn’t really enjoy. And then we got into the integration process, which is on track. The contacts were conducted on both sides and the group is run by Anne-Gabrielle and Jean-Michel on our side; on their side, the main corporate leaders. And all of this was extremely encouraging and the first indications are positive. Right, you know all about the acquisition financing. Our bankers have done a remarkable job implementing all this, with a bond issue on the Eurobond market in two tranches swapped into dollars, $700 million at 2.92% due December 2021, $600 million at 2.9% due December 2024. A $1.6 billion syndicated loan, LIBOR plus 60 basis points, due in 2018, 2019 and 2020, and part of the group’s liquidities were used to complete this. If we were to go through the 2014 exercise to see the - to determine the digital proportion, in 2014 analog would be a little over 50% - 50.7% and digital 49.3%. So clearly we are a very strongly-balanced organization between analog and digital. And projecting into 2015, we know that we are going to be well above 50% digital. This chart you can read through. It may be - it may prompt you to ask questions. It is based upon the figures posted as of June 30, 2014, and for the past 12-months since then. These were figures that are accessible, visible, on - at end of September - end of Q3. We don’t post all our figures, and so this is a pro forma, if you will. It’s not intended to be a precise reflection of the situation, but it gives you a pretty good overview. And the conclusions are that Sapient’s growth was 14%, while for Publicis growth was 1.2%, so really substantially lower. And the combination, when you combine the two, aggregate growth is almost 3%, EBITDA 17.2% for Publicis. And that the same level applies after synergy on run rate, in other words, after it’s been fully applied and discounting cost of synergy, 15.5% margin and 10.5% for the two organizations respectively over the past 12-months. And this gives us an average of 14.9% operating margin. With run-rate synergy the figure is equivalent to 15.5% Publicis figure for the period, and 75,000 headcount. Looking now at how we deliver synergy, delivering synergy involves cost, restructuring, reorganizing, reallocating. And all of this job is going to cost something like €50 million; €15 million in 2015, €25 million in 2016, €10 million in 2017, probably rather less overall. But we prefer to avoid unpleasant surprises. So it’s going to be a one off, year-by-year. However, the synergy of course is not one off, it’s cumulative. It is recurrent and it will reach €10 million after Y1, a little below corresponding costs. €30 million, which is substantially above costs for 2016 and then €50 million on run-rate basis and it is there that we - that the effects of synergy will be fully visible. Now obviously, we are going to try to accelerate the process as far as possible but, given the spirit of the group working on that, we are not worried at all about the chances of - the odds in favor of a success. This then is an acquisition which was actively sought by ourselves but also by management. They are behind the project; they can see why it’s an attractive project. Since the original announcement we’ve had a number of requests from our customers to meet our colleagues in Sapient, which brings me to 2015 and the outlook as we see it today. Let me start with something rather important, which is the fact that, thus far we were viewed as a communications leader and the leader in digital in our field of endeavor, let’s be modest. And from that level we are going to progress to being an organization which is going to do its core job as a communicator. Obviously, we’re going to be sharing creativeness, we’re going to be working on brands, helping our customers to break new ground. But also help them transform their communications, their marketing models, their omnichannel - their access to omnichannel, but also their business model itself. So we will be a leader in that field of transformation. Not all that difficult because we’re actually the only ones who have a capability to do that. So we shall be the unchallenged leader in a category in which there are no other contenders. So let’s try and help you re-rate Publicis. There is one very important thing which is the market we’re going to find ourselves working. What is the market, what will be the market share? This will no longer be the $400 billion but more like $500 billion including marketing, new storytelling content, creativity. It’s not just that, that’s the market on which we are already working with most of - or against most of our competitors. There is another market now opening up which is the consulting market, the roughly $130 billion market. And then take - and services market, $900 billion in all. Now we’re talking about over $1 trillion in other words simply because both in consulting and in technologies and services, it is not our intention to become the competitors of Accenture or other high-quality organizations who are already providing services in fields in which we do not intend to venture. We will stay where we feel we have expertise, we will help our customers reposition themselves on their markets. In summary, we’ll have a little over 50% revenue digital as of 2015. Creating a platform Pubilcis.Sapient, 22,000 people is a major stride, having all that talent in a world where talent is so rare, having new capability in consulting, e-commerce, in production platforms. We shall have a very robust home base in India. In other words, a market which by 2015 will be number two world market on networks and mobile, and unique expertise in global distribution campaigns out of India and also an enhanced ability to commit to strategic partners. With players such as Google, Facebook, Adobe, Microsoft and so many others, this is a strategy which we were the first to initiate back in 2007 [ph], we started developing strategic relationships and alliances with those platforms. And today, we are quite incontrovertibly the player having the greatest clout in that field, and above all, the strongest alliances. Alliances matter and there can be no question of Publicis trying to transmogrify into a tech company. We - in tomorrow’s world, the spirit of collaboration will prevail. The major operations in the future will entail a number of partners. There will be very few organizations that can do it all alone. Now objectives, priority is organic growth. And let me be very clear about this, because I don’t want you to go thinking that we are naively considering that having posted growth of 3.2% for Q4 in 2014, we are quite simply going to coast on into a rosy future with all the effort behind us. No, the effort is out there waiting for us. But we know that and that’s a good thing. Our teams also are aware of that fact. And I must express my gratitude to them for their commitment. It is most impressive to see how not just the executives and the teams running various associates throughout the world are so highly motivated and out there busy demonstrating that Publicis is back and that we will be back in growth. So we now have a year in the course of which we’re going to outperform the market sustainably and strongly, starting in 2016. That 2015 is going to be a slightly slack year. It’s going to descended and then pick up. It’s not really a dip with the shape of a V, but more like a hollow. We’re going to have to build the P.S platform develop the new consulting offering, the new marketing strategy, how we go to market, how we present ourselves. And then the implementation of the synergies plan. That is the process of integration and then another important point for our shareholders is the early redemption of the Oranes which is to be approved by the AGM in May 2015 to be executed probably in July 2015. The reimbursement will be either in the form of shares - of treasury shares, 50%, or share buyback, 50%. In other words, we’re not going to be creating new shares to payback the issue. This should have a positive impact on dilution. Looking now at the growth numbers, this was the - what I was trying to describe in sign language a couple of minutes ago. The forecast by Zenith grows roughly 4.9%. We know that ZenithOptimedia’s forecasts are the most reliable forecasts on the market. It’s the most solid indicator. 3%, 3.5% in 2015, this will still be our reference because Sapient’s growth is not being factored in 2015. So we’re looking forward to a dip in Q1 and then a gradual rise, giving us this Nike-like swoosh you have on the screen here. And then organic growth achieving cruising speed by early 2016, by which point we should be regularly outperforming the market. So we don’t intend to rest on our laurels and consider that the hard work is behind us, nor do we think that growth in line with the market growth would be satisfactory. [Interpreted] And I think the next thing is worth reminding and that is - remembering rather, and that is to quickly have a look at how we’re going to manage all this in 2015. We have a new Board, the official Board, and I’m still Chairman, include Jean-Michel Etienne, Anne-Gabrielle Heilbronner and Kevin Roberts, who’ll be doing two things actually, two very important things. First of all he’s going to be Head Coach, so he will coach the teams, and that’s a great talent, something that he really can do. And at the same time, he’ll also be the Executive Chairman of Saatchi & Saatchi/Fallon. Then we have the Directoire+, so to speak, which will include the leading operational managers, Laura Desmond, who’s Global CEO of Starcom MediaVest Group; Alan Herrick, who’s CEO of Publicis.Sapient; Steve King, CEO of ZenithOptimedia; Arthur Sadoun, CEO of Publicis Worldwide; and Rishad Tobaccowala, who I know you know, is and will remain our Chief Strategist. Then we have our P12 Executive Board. We’ll meet next week. You can see the names up there. I don’t want to read them out for you. 2018 briefly, after all, that is our focus. Our work for 2015, 2016, 2017 will be precisely to reach the goals that we have set for us in 2018. The first one, given the Sapient acquisition obviously, we will be even more active and involved in digital and internet business. So our - more than 60% of our revenue will be drawn from digital business. We expect that we shall get a faster organic growth, probably outperform the current statement by 200 basis points, and we’ll do all it takes to do that. We expect an improvement of our operating margin somewhere between 200 basis points and 400 basis points. And now that we include Sapient, we have an operating margin somewhere around 15.3%. So the target for 2018 is to well reach 17.3% - anywhere between 17.3% and 19.3% operating margin. Obviously, by 2018, we will revisit the payout rate. Remember that have said that we would be within the market average. The current average in our market is 42%. That is the goal we have set as you’ve seen. We’ve now reached the 37.5% payout rate and we should be able to get there. And if the margin does change - has changed by then, we will adjust our position accordingly. Thank you very much for your kind attention and my apologies for taking a little too much time. But I think that you really needed to get a full and comprehensive view of things. And Jean-Michel and I are available to answer your questions. Questions either put to us here in the room or over the webcast.
A - Maurice Lévy: [Interpreted] Yes, question one.
Conor O’Shea: [Interpreted] Good morning, Conor O’Shea, Kepler Cheuvreux. Three questions. You said, sir, that you expect a slight slowdown on organic growth early in 2015 and that you expect to reach your cruise speed early in 2016. I think that you had previously expected to reach your cruise speed in Q3 of 2015. Have you changed your mind?
Maurice Lévy: [Interpreted] No, let me just say this again. In a way, there are two cruise speeds. There’s first of all the 2015 cruise speed, which is not what we feel is the right level. But in Q3, we should reach the right level that will help us get to the right growth, the growth we expect for the whole year. Our goal is obviously not to be part of the market and to get the market - the growth that we will get for 2015, but on the contrary to over perform that. And we should see the impact of that in 2016. That’s what I meant. You may have misunderstood me or I may have misspoken.
Conor O’Shea: [Interpreted] Does that mean that the sequential improvement we’ve seen in emerging countries can be extrapolated for 2015 or was there a baseline impact? So basically can we get a breakdown of what you have done to significantly get an increase of organic growth in emerging countries?
Maurice Lévy: [Interpreted] Well, on the emerging countries, we will focus on savings, we’ve said that, but we will focus on hard work in the emerging countries. And our position should be much improved in emerging countries. Now again, there’s no reason to expect things to happen overnight over Q1, but there will be a significant and visible improvement over the course of the year.
Conor O’Shea: [Interpreted] Secondly, on digital, even though you have a good organic growth level for the whole Group on Q4, I think I understand that the organic growth of the first nine months was somewhere around 9%, 7% on average over the course of the year. We could have expected the Razorfish impact to be less burdensome.
Maurice Lévy: [Interpreted] Well, it is less burdensome and it will be less felt significantly - actually will disappear from Q2.
Conor O’Shea: [Interpreted] And a third question for Jean-Michel, if you’ll allow me. There is a significant amount of dollar-denominated debt. Can you tell us a bit more about the financial expenditure for 2015? Maybe give us a bracket?
Jean-Michel Etienne: Well, on financial expenses, as you have seen, our debt was either, yes, issued in dollars or it is true that we had a euro bond that was then swapped into dollar. So I think you have to take into account in that case, the referent exchange rate. 50% of our debt is fixed rate and 50% is variable rate, under the variant deal. So we’re still crunching numbers, but I think you can expect - we can expect somewhere around $80 million of additional financial costs. But don’t - fear not, we shall tell you more about it when we’ve got the numbers, we’re working on it.
Maurice Lévy: [Interpreted] And obviously, says Mr. Lévy, we will work on bringing these costs down. Question under placard number two.
Jerome Bodin: [Interpreted] Good morning, Jerome Bodin, Natixis. Two questions. First of all on the emerging countries, you had - I think it was in Q2 or Q3, you gave us a focus on China. Can you tell us more about the trend there? And I know that India had been difficult but I think that there has been a very significant upswing. Maybe you can tell us more about that. Second question, you’ve told us that customers have been very pleased and making good noises following the Sapient deal. What about your technology suppliers, what are they saying? What about Adobe, for instance, what are they saying? And what about your strategic partnership with Adobe? Are you going to expand it across the perimeter?
Maurice Lévy: Well, on emergings, maybe we need to zoom in on three countries. Now, I’ll throw in Brazil, so to speak, as a bonus. On China first, the impacts and effect we experienced at the end of 2013 with a drop in significant investments in Luxury, for instance, for the reasons we know, then there were difficulties in the automobile industry and other sectors in Q1. And we really felt that there were delays and things like that. And this being said, we felt that the economy was improving, but wasn’t ticking nicely yet. In China, there are still - there is still significant improvement to be made and we do expect quite a few new deals and new opportunities. We feel therefore, that most of the market problems and operating problems we had are a thing of the past. It doesn’t mean that it will be simply a walk down the garden path, there may be a few hiccups on the way, but we can expect decent growth. India now, Q4 was exceptionally good, particularly so in business - in digital. We saw there, for instance, that we got a very big boost on our digital business through a number of Indian customers and also through significant partnerships with a number of international entities. So things are going nicely in India. It does seem that Prime Minister Modi’s strategy is working. A number of companies want to go into India and things do seem to be going in the right direction. On the Brazilian market, the situation is more varied. There is, for instance, the fallout of what is happening surrounding the major corruption scandals. This is obviously disruptive. The Brazilian press is printing many column inches on these corruption scandals. And there isn’t - you can’t really feel a great popular support following Dilma Rousseff’s re-election. So the upswing may take a little longer to materialize and the economy does seem to be dragging its feet, and we expect the growth to resume in Q2. On Sapient now, I think there are a number of comments I want to make. First of all, there is very real enthusiasm, or at least interest on the part of our customers. And when I informed them of the closing, basically telling them that the deal was done, I got all sorts of e-mails over the weekend congratulating me on the deal, but also inquiring as to when they might be able to meet with people Sapient. So appointments are being made, presentations are being drafted, and we do intend, even though we haven’t yet got a date, intend to organize an event here in Paris and present Sapient to unless investors, analyst, or potential customers. After all, in the U.S., they are very well known, in the UK, they’re pretty well known. They have a handful of very large customers, but here, these people are not well known at all. A handful of companies do know them, but I really want to make them better known. So what I’m saying is that, there does seem to be a very real appetite and interest here. On the technology side of things, yes, there are also many requests. And we also have a variety of agreements. So we will have to work over the course of the year in a sensible, harmonious way to pick the right one - deals and make the right choices. Sapient had a number of agreements with technology companies. They’re interested in what we’re doing. But realize also that the major operators in E-commerce, SAP, IBM and others, are obviously very much interested in what we are doing. So there are all sorts of talks underway and this should lead to something positive. But for the moment, we haven’t made any choices, these are difficult choices to make, and we wouldn’t want to rush into them. Yes, here.
Unidentified Analyst: [Interpreted] [indiscernible], Barclays. On Q1 and a slight dip in growth, if you look at the T4 [ph] 2013 figures, we are talking about a variance of about 2.6% on a comparable basis, so there is apparently a slight slowdown underlying this. Could you expand on why you are expecting a growth dip? And are you being conservative, because you said 1.5% for Q1 that turned out to be a little over 3%. So second question to Jean-Michel on the negative Forex impact of 1.3%, you had a 10 bps impact if you look at the spot today, you should have plus 5% impact on growth, so 50 basis points on the margin. I’m - Jean-Michel could enlighten us. And on Sapient, since you closed the transaction last week, it’s now yours. Could you talk about the Q4 performance? There was a slight slowdown in growth in Q4 and at Investor Day, there was a figure indicating even less growth in Q4. So could you give us a little - could you fill us in a little on T4?
Maurice Lévy: [Interpreted] The first question first question, well, I’ll take the first question and part of the last one Michel will field the second question, and part of the last one. The first question, the answer is, well, a bit of both. We were, to some extent being conservative. We always prefer to step forward cautiously. But there was also a timing effect - a timeline effect. In the ad spend market, an enormous amount of business is dependent on product launches and activity levels in H2 had far, I mean, there were far more launches in H2 than H1 quite simply. And this applies to a lot of consumer products, for instance, in the auto market, there is an enormous number of new product launches or things that are about to emerge. I wouldn’t want to say any more about them here and now. But if you’ve been following events in the U.S., the motor show in the U.S., there are going to be 60 launches in the USA alone, just to give you an idea. And many of these launches will be in H2, which leaves us with a schedule which is not particularly good news in terms of the balance between H1 and H2. There is no real issue here in our overall business. There is not one particular entity that is hurting or that is in difficulty. Healthcare, we think is going to have a very good year. It had a very good year, last year, we were very satisfied with the results. We feel that there is probably going to be an RP improvement, this will be gradual. And we feel that the forecasts of our creative agencies are pretty solid. So prospects are good, but there is a seasonal effect, which is not really helping us very much. And now on your last question, we don’t yet have the final figures. Sapient hasn’t closed its year, they close a little later than we do here. And generally they make - they bring their figures out in March. So for the moment, what we can conclude is they were on track with the plan. And we expect Q4 to be what it was predicted to be, that there will be a slight dip and that 2015 will be in line with the business plan that, as you know, shows fairly strong growth. Jean-Michel, on that one and also the other question, which was on the 5 basis points.
Jean-Michel Etienne: [Interpreted] He wants to produce a variance of 50 bps only with Forex, brilliant. Well, yes, as was just stated, the timeline is not entirely within our hands. But we are trying to bring them around to our methods and principles and avoid having major changes in the way in which we announce our results and always have done. I can confirm what Maurice just said, the figures have not yet been entirely finalized, there is nothing, I mean, everything is very much in line with the figures that were presented in the due diligence there and it’s in line with the business plan, no surprises thus far. Now, answering the question on the 10 basis points, let’s start with the 10 before we discuss the 50 basis point. The downturn due to 2014 exchange rates. I have the impact per currency here. Now we’re very strongly represented in the USA, as you know, but also in Great Britain. Dollar and sterling were favorable. But of course these are not the only currencies out there. Unfortunately, there are lots of others. It’s a very long list that is of the countries in which the monetary impact was unfavorable and which explain –which - the 10 point drop.
Unidentified Analyst: [Interpreted] Now what happens in 2015, all things remaining equal? We should have a favorable effect. I’m not sure to the tune of 50 basis points? A - Maurice Lévy [Interpreted] He was just - this was just provocation. This is Maurice Lévy. Yes, we know him. But there will probably be, as we stand, it can only be good news. Have any further questions from the floor here in the room? We have two.
Adrien de Saint Hilaire: [Interpreted] Good morning. Saint Hilaire, Morgan Stanley, a few questions. Could you give us the headline Razorfish impact for 2014? You talked about 2 basis points, could you give us the Group-wide effect on an annual basis? You gave it to us for the U.S. And second question, in your discussions with the consumer clients, was it your feeling that the drop in commodities was going to be potentially good news for their ad spend? And the third question, could you give us average net debt you forecast for 2015?
Maurice Lévy: [Interpreted] Well, the figure hasn’t really changed. We haven’t worked it out precisely, but there is no major change. On commodities, raw materials, some of our customers are very happy people, they’ve suffered greatly over the past few years because of the increase in commodity prices. And there are two probable spin-offs to be expected from this. First of all, they are going to become more competitive and they are going to be able to come up with offerings that consumers will want to accept. And now this applies to consumer products, there is definitely a commodity effect. But the second effect is they are going to be more aggressive. As soon as they become more competitive, they want to gain more market share. And in view of all of these different pros and cons, we are going to end up with a probably slightly stronger market. And this is - this makes us confident. We felt this in Q4, because - and certainly far more interesting than the upticks in the previous quarters, the major good news was that there were far fewer cuts. We were accustomed to a situation in which our customers saw Q4 as a way to make up at the end of the year for their - or to catch up or make up their profitability results. They used Q4 as an adjustment in such a way to come up with the overall P&L results they were expecting for the year. And there are some of them who did this, unfortunately. But it wasn’t the sort of landslide that we got at the end of 2013, where we were really surprised by the extent of the phenomenon. Here, it was very minor. Jean-Michel?
Jean-Michel Etienne: [Interpreted] Well, another nice question, thank you. We - for 2014, $93 million is our average net cash level. On February 6, we had the acquisition debt for Sapient coming in, you know the acquisition price, so we are going to have average debt, which would be very high throughout the year. Now, when you say average debt, well, we are working on our cash objectives, including all transactions. We haven’t entirely worked this out. And we’ll only be announcing them once we’ve closed our end-of-year accounts, because there is still a lot of volatility because of the seasonal nature of our business. So as not to make sure we are heading in the wrong direction. We prefer to close our accounts first then determine our cash objectives, which have not yet been determined, in other words. Meaning that I can’t give Adrien the information he would like me to, but I will be able to. So watch this slot.
Maurice Lévy: [Interpreted] Any further questions from the room? Otherwise we’ll take one from - we’ll take one over the phone. Have we another question out there?
Operator: [Foreign Language].
Charles Bedouelle: [Interpreted] Thank you. A more philosophical one, Mr. Lévy. When you look at the two most aggressive groups in digital, it was you and WPP and our American friends probably less in terms of M&As. However, what now seems to be happening is that the most acquisitive groups are not necessarily those with the strongest organic growth whereas one would have thought there would be a structural effect. And yet - but you’ve got better margins. So the question is to what extent would you say that the M&A margin focus is detrimental to structural organic growth in your Group, or the agencies most strongly involved in M&A? And where does the gap come from, relative to the Americans ignoring geography alone? But this growth gap between Omnicom and Publicis on the other side of the pond is - seems strange.
Maurice Lévy: [Interpreted] Well, that’s a truly remarkable question. And the only possible answer is dynamic. I can’t give you a spot answer to respond question, because a spot view in 2014 would clearly show that Omnicom’s figures, I don’t know the others, but we have the first nine months show that growth was stronger whereas we were hurting. And if we take a dynamic view of the same, it’s rather different. A major part of some of our competitors’ growth comes - is driven by markets, where we are not represented. Field marketing, for instance, was behind very much of the growth registered - recorded by Omnicom. And on programmatic - the programmatic markets, we do not have - we do not use the same methods as WPP and Omnicom. We don’t - we do it net, on a net basis. And this makes a fairly substantial difference. So there are differences in working methods. And what really matters is not so much what happened as what is about to happen. The writing is already on the wall. You - when I read your reports, your analyses, you immediately refer to the fact that there is a new category here. There is a very interesting article, which came out a few days CMTO. In other words, CMO plus tech, Chief marketing technology officer, and this is a very interesting development. But digital officers and this is fascinating - are now a dime a dozen in many organizations. L’Oreal, Nestle, Unilever, there are many, many, many corporations out there creating a post for someone who has a very high executive level of responsibility, and whose job is digital. This is going to affect strategies, their strategies, and it’s going to affect their working methods also. We are also observing that the trend we’ve observed thus far, more internet communication to the detriment of other media is continuing strongly. Referring, for instance, to the prediction we are hearing three years ago, it was our hope that by 2014 we’d have something like 15% media spending on internet. It’s now 21% as we speak, 2014, 21%., mobile taking over an enormous share. All of this generates ways of collaborating, generates investment patterns in digital, which are going to be very different from what we’ve experienced thus far. The Blue I don’t want to - I’m not talking about Amazon. Is Amazon a logistics company, is it a catalog sales via internet, is it a service provider, a cloud-based, or is it a manufacturer of, say, cell phones and digital readers? No one really - or even tablets - no one really knows precisely what the beast is. But as an organization, within the organization, functions are changing, responsibilities are changing. And the very clear lines of demarcation between marketing, sales and tech - in other words IT all of this is dissolving. You can’t get into marketing without thinking about e-commerce. It’s simply impossible, or you would have to be blindly confident in your business model. But any company today, large, small or in the middle, I mean, everybody is developing models to be able to sell stuff via internet, including luxury products, luxury goods, and with major investments. No one ever thought that those people who have their address on the Avenue Montaigne would advertise over internet one day. But we are not all just out there on internet looking for the lowest selling price. So there are changes in business models of major significance. You can’t have a concept of marketing without having an underlying tech concept. And meaning you have to think about tech tools. Let me give you an interesting example. Sales reps, you know these people, these guys who go out there, knock on the doors, walk the streets, sales reps, for instance, pharma. Now, in the not-so-distant past, to know where they were to get their reports in, you needed quite a lot of work to be done and it was no easy task to manage the sales force and the results they were achieving. Now today, take someone take someone who goes to see a doctor. He has it all - sales reps who goes to see a doctor has his tablet, he can make a presentation, and he immediately has his report. Plus the GPS effect, and we know exactly whether he’s actually visited the physician or whether he is making it up. And we also know whether he perhaps made a mistake in terms of business ethics. But even these little, so-called easy jobs are becoming much more sophisticated and they are changing considerably. For instance, the people who take orders in the local drug store, we’re having a transformation of all functions without exception of who in this room, or over the phone is not, as we speak, in the process of consulting a screen to change their cars or make a trip or borrow this or buy that? Everybody’s doing it all the time. And simply, because we have this extraordinary source of information at our fingertips, for instance, sometimes I have a short sleep after consulting the internet. I mean, the very first thing I do is go onto the web and see what’s being offered and see what’s new. There is this extraordinary source of information. And at a given point in time you may be tempted to think that when you stand back and take a look at all this, margin rate is perhaps better, but organic growth is lower, which happens to be a fact. But if you look at it dynamically and if you look to the future then you find yourself with this image that we all are familiar with in the Tex Avery comics, where you see the fox running after the squirrel, chasing this squirrel. Squirrel has run off the top of the cliff but he keeps on running, and he doesn’t immediately realize that he is running in thin air and then he drops. And there are lots of people running in thin air. They think they are still - they haven’t yet reached the edge of the cliff. But by the time it happens, there will be no more terra firma under their feet. So, Charles, thank you for allowing me to tell that story. I’m not sure if we have another question? It would be nice if we could have one for Jean-Michel over the phone. He’s twiddling his thumbs.
Maurice Lévy: [Interpreted] So any other questions? Next question Olivier Moral, HSBC.
Olivier Moral: [Interpreted] Good morning and thank you for giving me the floor. I think all my questions have been addressed. But I think somebody else had a question for Jean-Michel.
Maurice Lévy: [Interpreted] Okay next question then.
Operator: Our next question comes from Brian Wieser from Pivotal Research. Please go ahead.
Brian Wieser: Bonjour, I’ll ask my question in English.
Maurice Lévy: It’s early for you.
Brian Wieser: Were there any business units that were specifically behind the BRIC and rest of world growth figures, or was it really broadly based? And a separate question, given that more of your exposure is now to the consulting business, do you think that your M&A priorities will change to include more activities that are adjacent to Sapitent’s global markets and government services businesses, or do you think the focus would remain more on areas that are more directly related with marketing activities?
Maurice Lévy: [Interpreted] Jean-Michel, would you address the first question. Can you repeat the first question in order to make it clear for Jean-Michel.
Brian Wieser: Yes, were there any business units that were specifically behind the growth figures you saw in BRIC and rest of world, or was it a really broadly based across all of your businesses? And also, were there any surprises?
Jean-Michel Etienne: No, not really surprised because not [Interpreted] I’ll answer in French, if you’ll allow me, maybe so that everyone can understand here in the room. I don’t think there were any real surprises. In India, for instance, however, I think businesses had factored that in already. Q4 2013 was very sluggish in India, I think we said that and when we looked at it then. There was - there were questions as to whether they would manage to do what they said they would be doing. And Q4 was actually very good. And yes, it’s true that the numbers look even better, because the comparables are - or the baselines are very low. In China, you have a similar situation in a way. And there was a good result, ever so slightly unexpected in Mexico, even though the results were - and the performance was very good over the course of the year.
Maurice Lévy: [Interpreted] I too will also answer in French, Brian, if that’s all right. I heard you say bonjour in French, brownie points for that one. On consulting then, well, we do not intend to start competing with the major consultancy firms. We do, however, want to make sure we have the right makeup to enable our customers to manage their transformation. We won’t go into supply chain or anything related to manufacturing processes or modeling. We’ll stay focused on what we know and what we can do, on these things where our skills actually make a significant contribution. So, yes, we may in due course hire people or make smallish acquisitions in consulting, but this would really be on the margins of our business. Once again, our goal, our purpose is not so much to turn the group into a consultancy group or into an IT services group, no. We will not start competing with Capgemini, Accenture, and others. That is not what destiny holds for us. Occasionally, yes, we may have to deal with them. I mean after all, they have sort of made inroads into our markets too. I mean, Accenture, for instance, acquired digital agencies. So I don’t suppose they are really surprised to see us be active. But on their core business, we won’t go and challenge them, definitely not. We do not intend to do a job that isn’t ours. So yes, there will be some things happening, but really not much. And that won’t happen in 2015, I think we’ll have a low M&A activity level for 2015. We will on the contrary focus on integrating the new teams and we won’t waste our resources and energy over the course of 2015. So thank you, Brian, for that one.
Brian Wieser: Okay. Thank you.
Maurice Lévy: [Interpreted] I’ll give the floor to our operator so that she can tell us whether we have any other questions.
Operator: Our next question comes from Sarah Simon from Berenberg. Please go ahead.
Sarah Simon: Yes, good morning. I’ve got two questions. One for each of you. For Jean-Michel, just in terms of factoring in Sapient to our models, is there any particular seasonality that we should think about in terms of, obviously [indiscernible] for January, is there anything funny there? And then a more broad question. Given what’s happening with TV advertising in the U.S. and the shift to online video, do you think it’s fair to assume that the rate of analog decline for you, but also for agencies more generally is going to accelerate over the next couple of years? Thanks.
Maurice Lévy: Jean-Michel, would you take that one?
Jean-Michel Etienne: [Interpreted] Well, on your first question, we will integrate Sapient as at the date of acquisition, i.e., it’s February 6. We will have an initial set of numbers as we usually do. And we will have accounts and financial statements for 2014 at year’s end 2014, which will be audited, but not reported. The regular auditors haven’t quite finished. So I don’t think there is anything special to mention here yet. It’s a fairly standard and the usual integration process really. This being said, we do hope to take this rather swiftly and make sure that we have a regular reporting of Sapient’s data and figures. This is obviously going to be very important for full and proper integration to make sure that we get the numbers on time every month, like everyone else in Publicis.
Maurice Lévy: [Interpreted] Thank you says Maurice Lévy. On your second question, I think, yes, we can expect a fast - a speeding up of the drop in analog and the decline in analog. Let me come back to the video for instance, and this is quite big and growing. The market share of television generally speaking is pretty stable at a global level, overall, somewhere around 40%, anywhere between 39% and 40%. And people - we expect that to remain stable. What will change is the way in which people consume television. Television is no longer being watched in front of the box at home, in the family setting and nibbling crisps or nuts, no. Things have changed people now drink beer, anyway. You watch TV on your tablet, on your mobile, and on your computers, the mobility is crucial, crucial means of accessing information. And 24 hour news channels are picking up significantly on mobile means. And there are new product offerings that have really completely changed consumption and the way people consume. So this 40% doesn’t quite describe the same thing nowadays as it used to. On the media, or press side of things, we expect that to go on dropping. But we’ve seen and that’s rather interesting I suppose to see that the pie chart that covers the market shares has changed significantly over the period 2014, we looked at that during the Supervisory Board yesterday. We looked at what the various means and media for advertising were in 2014, compared to 2004. And you’ve seen the printed media has gone down about 50% over those 10 years. And I’m talking about here about dailies and magazines. And we sort of expect that to - downward trend to be sustained, but not quite at the same pace. So in market share, there will be a drop, but maybe not a drop in volumes, and it’s true that over the last 10 years, volumes had also gone down significantly. But in the future, I think we can expect joint or combined solutions where we will actually be able to value and monetize the internet and mobile platform side of things. And we know that the printed press nowadays doesn’t really know how to do that. So models are emerging and they are starting to be reliable. What we will see, however, as I said is a drop in the market share for almost everyone except from television, which will probably go on growing in line with market growth. Internet will - internet growth will outperform the average. Cinema, radio, and print will see their market shares go down, even though there may be an increase in volume on radio, for instance. And then billboards and posters will probably increase their market share ever so slightly. And I expect that this will be the - or one of the mass-market media. And that’s something I mentioned quite some years ago now. And this will probably be the one for umbrella communication, which brands need. I think that covers your question. Are there any other questions?
Operator: Our next question comes from Tim Nollen from Macquarie. Please go ahead.
Tim Nollen: Hi, thanks for taking the question. Hope you can hear me okay. Two questions on costs, actually, perhaps, a bit more for Jean-Michel. Firstly, clearly everything is combined with Sapient now, but I wonder if you could discuss what the Publicis underlying costs progression for 2015 maybe, i.e. if you can separate out ex-Sapient what to expect in terms of margins? And separately then, actually very much more including the Sapient situation, what should we think about costs given that it’s a much more IT-heavy business. Both in terms of CapEx types of costs and also staff types of costs, which I assume, given your comments on the talent shortage and obviously the rising presence of digital media, how should we think about costs in general, given the IT-heavy presence of Sapient? Thank you.
Jean-Michel Etienne: [Interpreted] Well, to address this question, I can say that over FY2015, we will try to make sure that 2015 brings us closer and puts us in a position to deliver on the goals we have set for ourselves for 2018, that’s the main purpose. We’ve always said that 2018 or the results for 2018 will not be reached in a linear fashion, we’ve said that any number of times. So any cost management issues that are covered by Publicis as such are groundwork for 2018. Now, it might be a bit early to discuss this now, we really need to look into the numbers of Sapient more specifically. We closed the deal on Friday last, less than a week ago. So we haven’t yet been able to look at this and see what improvements we may get on the cost side of things there. Obviously there are things that need to be done. I think that when we spoke about acquiring Sapient, we identified a number of fairly obvious things to do that would improve the cost basis, quite simply delisting the company will improve the cost base in and of itself.
Operator: Our next question comes from Adriaan Van Otterloo from IVI. Please go ahead.
Adriaan Van Otterloo: Yes, good morning. I have three questions. One is related to Sapient, two is about the performance in Europe in 2014, and three, on digital. On Sapient you say that you are not competing against Accenture, but on the other hand, your business model with Sapient is relatively similar, i.e., lots of employees in India, who are doing all the fantastic work on the technology side. But both of them have about 67% of their employees in India. Do you think you can manage your margins up to Accenture’s margin of about 15% irrespective of the integration with Publicis? And then the second question is on Europe. Why has the margin actually declined in Europe in 2014? And then three, on digital, where do you see your clients spend most of your money in digital, is that mobile or is that - which services are they most interested in? Thank you.
Maurice Lévy: Jean-Michel, go ahead. Jean-Michel, you take number two.
Jean-Michel Etienne: [Interpreted] Yes. The limited reduction in European margins, obviously there is a connection with the overall growth situation in Europe which, as you noted, is really not what we would like it to be, have negative growth in Europe. There are complex issues out there, which are in the process of being resolved. The process began several years back. We’ve streamlined the organization and obviously major restructuring costs being engaged in Europe. And the program is ongoing, year-after-year, and obviously we are not yet achieving the margins in Europe we hope for, with a bit of growth, it would have been much easier.
Maurice Lévy: [Interpreted] In that respect, let me add, Maurice Lévy, that in Europe, restructuring is more complex, it’s more costly, it’s slower, in Europe. In fact, you pay twice over, in a sense, everybody, I’m sure understands that. Now, Accenture and Sapient and Publicis, when I said that we’re not in the business of competing with Accenture, let me make it clear that there is one area of business in which they have come to compete with us, the digital dimension of brand management and, in fact, they have bought up digital agencies in that field, as I hinted at earlier on. And so there is a slight amount of friction there. But at the same time, they are a partner, they - Accenture help us set up SAP in our group and we have no intention of becoming their competitors on their turf. It’s something like 90% of their businesses which stems from consulting and implementing IT tools - corporate IT tools. We are not going to get into that, don’t intend to. The point is worth making. As soon as technology is involved, the talk is of India. In other words, India has succeeded in doing something quite extraordinary, and China has succeeded in becoming the blue collar place, where it’s all about. And India is the place, where they are churning out students - very high level students and engineers in this much coveted field of endeavor, even Publicis has agencies working out of India. I don’t really have a detailed view of Accenture, I’m starting to become quite familiar with what Sapient is doing. And what Sapient does is they develop a service delivery system worldwide based in India. So the idea is not just to have a rear base for the purposes of production, but they also have local engineers there, they are very strong in recruiting entry-level people who can help customers, our customers, go omnichannel or trans-firm. So in other words, engineers trained in consulting, and then dual capability is what you find in Sapient. You mentioned margins. Will we hit 15%? Adriaan, I’m surprised at your lack of ambition. I know that you are a timid character, I mean, 15% would be okay, but nothing to write home about. And initially, precisely, we are going to try and make sure, we achieve 15%, which will not be an easy task. There are a lot of things that Sapient is very, very, very good at. Improving what is already being done remarkably well is difficult, but we have the people, the methods, and the tools required to help Sapient succeed. There is also the question of business volumes, which will facilitate improving margins. Your last question goes to digital, the breakdown between digital, analog. While digital involves an enormous number of different pockets and there is one of these, data, which is growing at exponential rates and also multichannel commerce. This is something which is progressing, which is soaring. And the other field that is going up at growth rates above 30% is mobile. Mobile includes so much scope, so much opportunity, not just because of the new applications, but also because of some very interesting tech solutions that were tech implementations, that we’re working on. So there are lots of communications and marketing solutions out there potentially. And it is those three fields that are progressing faster than the others. The one that is lagging behind is display. Perhaps, one last question over the phone.
Operator: Our final question over the telephone comes from William Mairs from Nomura. Please go ahead.
William Mairs: Thank you, just a couple of questions. The first one for Jean-Michel regarding working capital, if I have a look at the level of benefit this year, it’s the lowest for around five years. So I’m just wondering, what do you think the working capital benefit could be for 2015. Do you think it could actually be negative given perhaps clients pushing back on terms and maybe programmatic also having an impact as well? That’s the first question. And the second question is I’m sure you’ve already touched on it, but it’s a bit difficult with the translation. But I think you mentioned before that in terms of your guidance for the fourth quarter, it was a bit impacted by the difficulty in forecasting the second half for growth, given a lot of product launches coming in the second half. So I guess my question there is, given that you’re looking for an acceleration in second half growth in 2015, how comfortable can you be of this improvement in growth given some of the issues around forecasting second half growth? Thanks.
Maurice Lévy: Okay. I will answer the second question and Jean-Michel will start with the first one.
Jean-Michel Etienne: [Interpreted] Yes, on working capital requirements for 2015. The picture is quite simple. We now have some experience in this matter and we have never made forecasts of cash generation by WCR, by working capital. Obviously, we’re working on this month in, month out. And every single month we spend a lot of time, particularly in the second half of the year, because that is where you get the cash fluctuations. But we - the - our forecasting process, this was the case in 2014, it was also case in 2013 and 2012, even though the ultimate result was better than expected, was zero change in working capital and cash flow forecast. So that - we know that there is - there can be difficulties arising with clients or people putting pressure on us to extend payment periods. But thus far, we’ve always been - with our country mix, we’ve always been successful and we’ve been working exactly the same way for years now.
Maurice Lévy: [Interpreted] Now to your second and most important question which concerns the degree of comfort that can be derived from our 2015 guidance. There is clearly a misunderstanding, I don’t think I said that H2 was difficult to forecast. What is difficult is what happens in November and December. Because these are months that are fraught with uncertainty, and they have to be, because depending on where companies stand, depending on their results, they will decide to hold back or to boost investments. And so here we’re talking about hardy perennial. It comes back every year and we don’t that there is always a risk of end-of-year variation. On H2, what we have is what is already in the forecast and I mentioned this in automotive. And I quoted the example of the U.S., which is - I mean everybody knows, since the motor show that there are now 60 new models that are going to be launched in the course of 2015 in the U.S. with a considerable majority in the second part of the year, after July. Now there are years in which H2 is much stronger than the first. This is only normal and then our client’s marketing plans, what we’re seeing both in terms of consumer goods, financial products, but also automotive. What we’re seeing is these seasonal phenomena and the result is that we sometimes have these very strong H2s. I’m sure that our customers - our competitors are very much in the same position. In any case, this - in view of our client portfolio that is the way where we stand. So we have a fairly high degree of comfort as regards forecast for 2015. Last year we made no secret about our difficulties in forecasting and the result is that as of today, when we look back, we feel once again quite a lot of comfort. The figures that were quoted did not have to stretched to achieve the growth objectives. We’re still facing quite a lot of work to achieve a normal management missions. But as regards growth, we all know that if we want to revert to the rate of growth that we are seeking, in other words go back to regular basis on which we outperform the market, we win back a lot of business. And that’s precisely what we’re about to do. So the take home is that we have - we are strongly confident in our guidance.
Maurice Lévy: [Interpreted] Thank you to those here. Thank you to those who have spoken via the telephone. Thank you for being with us and we’re now going to close this session. Thank you one and all.